Executives: Jason S. Armstrong - Senior Vice President-Investor Relations Brian L. Roberts - Chairman & Chief Executive Officer Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.
Analysts: Craig Eder Moffett - MoffettNathanson LLC Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC Richard Greenfield - BTIG LLC Marci L. Ryvicker - Wells Fargo Securities LLC Vijay Jayant - Evercore ISI Philip A. Cusick - JPMorgan Securities LLC Jessica Jean Reif Cohen - Bank of America Merrill Lynch John Christopher Hodulik - UBS Securities LLC Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker) Brett Feldman - Goldman Sachs & Co. Anthony DiClemente - Nomura Securities International, Inc. Bryan Kraft - Deutsche Bank Securities, Inc. Mike L. McCormack - Jefferies LLC
Operator: Good morning, ladies and gentlemen, and welcome to Comcast's Second Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please note that this conference call is being recorded. I will now turn the call over to Senior Vice President Investor Relations, Mr. Jason Armstrong. Please go ahead, Mr. Armstrong.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, operator, and welcome, everyone. Joining me on this morning's call are Brian Roberts, Mike Cavanagh Steve Burke, and Neil Smit. Brian and Mike will make formal remarks and Steve and Neil will also be available for Q&A. As a reminder, as part of the FCC's anti-collusion rules for the broadcast incentive auction, we cannot discuss or answer any questions related to the auction or Spectrum today. As always, let me now refer you to slide number two, which contains our Safe Harbor disclaimer and reminds you that this conference call may include forward-looking statements subject to certain risks and uncertainties. In addition, in this call we will refer to certain non-GAAP financial measures. Please refer to our 8-K for the reconciliation of non-GAAP financial measures to GAAP. With that, let me turn the call to Brian Roberts for his comments. Brian?
Brian L. Roberts - Chairman & Chief Executive Officer: Thank you, Jason, and good morning, everyone. We were really pleased with the second quarter results as we continue our terrific momentum this year. We increased revenue and operating cash flow thanks to broad-based strength across our businesses. As you will hear, we have many positive trends in each part of the company. At Cable, we achieved some of the best customer metrics in nearly a decade while posting strong operating cash flow growth. Our results this quarter provide further evidence that customers are responding favorably to many of our new initiatives. We added 115,000 customer relationships which is more than triple the number we added in the second quarter of 2015. In what is normally a negative seasonal quarter, we lost only 4,000 video customers, the best second quarter result we have had in over ten years. On a trailing 12-month basis we have now added about 90,000 video customers, a remarkable improvement in the face of significant competitive and technological change and a testament to the investments we've made in our platform and breadth of content. X1 is now about 40% penetrated, and we have deployed a total of 8 million voice remotes. We're rolling out 800,000 new voice remotes each month and customers love it. It's generating over 200 million commands per month. Overall, the feedback on X1 continues to be terrific and the voice remote is driving customer satisfaction with the platform even higher. Next, at high-speed Internet, we added 220,000 customers, the best second quarter result in eight years. Similar to video, the improvement was driven by better customer retention. We've started our rollout of DOCSIS 3.1 and expect this to continue to enhance the quality of our offering and ultimately our competitive advantage. We've been investing in improving the customer experience at every touch point, and we're very encouraged by our progress. Many of the key indicators around customer service are showing real improvement. First call resolution is at a multi-year high. Our billing and on-boarding contact rates are down significantly. Our customer satisfaction scores are up, and external indicators are pointing in the right direction as well. So all in all, another very strong quarter at Cable. At NBCUniversal, as expected, we had a challenging comparison in film, but we delivered very strong performance at broadcast and solid growth in our theme parks and cable networks. I'm pleased to report that we've now completed our most successful upfront since owning the company with a 12.5% CPM increase at NBC primetime. Overall, demand is strong across our entire portfolio. We've got a differentiated story versus our peers. Part of our success and leadership comes from a unified approach. We go to market as one company. Also, our Big Night strategy is compelling. If you aggregate Big Nights on TV in 2016, defined as a 10-household rating and a five in the 18 to 49 demo, we project that NBC will own 70% of those nights. We're also continuing our leading position in news. NBC Nightly News won both total viewers and a demo for the fourth consecutive quarter. The Today Show remains number one in demo, and Meet the Press has risen from number three to number one in the key demo in the past year alone. We're on track to finish number one in broadcast for the full year, and cable networks continue to benefit from a great portfolio in entertainment, sports and news. For example, we saw particular strength at MSNBC during the quarter and are proud of the six recent Emmy nominations for USA's Mr. Robot, including for outstanding drama series. At Theme Parks, the highlight during the quarter was our launch of The Wizarding World of Harry Potter in Hollywood, which has been a tremendous early success. Both attendance and per-capita spending at the park saw significant lifts and guest satisfaction is at record levels. In film, we announced our acquisition of DreamWorks in the second quarter. We look forward to welcoming the team and their wonderful creative talent to Universal and the broader Comcast family. Speaking of animation, The Secret Life of Pets is a huge success and another great example of what happens when we put the entire weight of the company behind an initiative. We featured pets on many different platforms across all of Comcast NBCUniversal, including integration with our X1 experience. The movie opened to a record-breaking $104 million, the highest-ever opening in the U.S. for an original animated film. And importantly, we created another franchise for Chris Meledandri and Illumination. Finally, let me just say a word about the Olympics. It's an honor to be the company that brings the Olympic Games to America. It's one of our greatest moments of pride, and the entire organization is ready to deliver the most comprehensive and technologically advanced Olympics in history. Starting next week in Rio, NBC's coverage will be unprecedented; everything live streamed. 306 events, 11 networks, close to 6,800 hours of content. And our Emmy-winning team will bring to life the stories of these remarkable athletes in a way that nobody else can. What excites me is the opportunity to marry the unique storytelling capabilities of NBC with Comcast's world-class technology. The best way to experience Rio will be on the X1 platform. For the first time, we have built a destination that will combine live television, online streaming and on- demand content, athlete profiles and up-to-the-minute stats in one integrated NBC Olympics dashboard. And it's all searchable with our X1 voice remote. We think that our viewers and customers are going to be amazed. Those 17 nights will showcase the strength of NBC, all of our cable networks and Comcast Cable working together, and we couldn't be more excited. So we've had a great first half of the year on so many fronts, and we're very excited to build on this in the second half. Mike, over to you.
Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President: Thanks, Brian, and good morning, everybody. I'm starting on slide four for those following the presentation. Our second quarter results reflect broad-based strength across our businesses, partially offset by a challenging comparison in Film where revenue declined by $915 million and operating cash flow declined by $366 million as a result of tough comparisons to our record-breaking performance in the second quarter of 2015. Recall last year's second quarter was driven by the tremendous success of both Furious 7 and Jurassic World. So including film, you can see on slide four consolidated revenue increased 2.8% and operating cash flow grew 3% for the second quarter. Earnings per share was $0.83, a 1.2% decrease compared to a year ago, and free cash flow was $1.4 billion in the quarter, a decline of 5.4%. We will go into greater detail on these results on the slides to come. Now let's start with Cable Communications on slide five. Cable Communications delivered strong second quarter results. Revenue increased 6% to $12.4 billion as we increased customer relationships and grew total revenue per customer relationship by 3% to $148 per month. We added 115,000 customer relationships, an increase of 83,000 compared to last year's second quarter, with broad-based improvement and strength across our entire footprint. Growth in two-product and three-product customers and a reduction in churn across all products drove the improvement. In fact, we have improved churn in video and high-speed data for 29 consecutive months as customers increasingly recognize the value of our X1 platform and superior high-speed data product, and we make meaningful strides in improving customer service. High-speed Internet continues to be the largest contribute to overall cable revenue growth. Revenue increased 8.6% to $3.4 billion in the quarter, reflecting strong customer growth, customers subscribing to higher levels of service and rate adjustments, which were more modest compared to the prior year. Our customer momentum continued as we added a combined 220,000 residential and business customers in the quarter, up 22% over last year's net adds, and added 1.4 million combined customers over the past 12 months. We continue to gain market share and benefit from growth in the overall market as customers respond to our product differentiation. At the end of the quarter, 79% of our residential customers received speeds of 50 megabits per second or greater compared to 69% in the prior year. Video revenue increased 2.8% to $5.6 billion in the quarter primarily due to rate adjustments as well as customers subscribing to additional services, including premium channels, HD DVR and additional outlets. Our rate of growth was impacted by the challenging comparison to the hugely successful Pacquiao versus Mayweather fight on pay-per-view in last year's second quarter. Our rate adjustments are primarily from broadcast TV and RSN fees which, as we will discuss in programming expenses, are the most significant sources of our cost pressure. In terms of volume, our total Video customer base has grown modestly year over year as we have consistently improved our Video customer metrics for several quarters. In a quarter that's typically seasonally weak, we lost a combined 4,000 net Video customers, an improvement of 64,000 versus the year-ago quarter, and as Brian noted, making this our best second quarter result in over 10 years. The improvement continues to be driven primarily by improved churn. Our X1 platform is proving to be a real competitive differentiator, and we continue to make good progress, rolling it out to 855,000 net new and existing customers this quarter with nearly 40% of our total Video customers now having X1. In addition to great technology, we couple this with a breadth of content available on demand and with a compelling TV Everywhere offering. Our customers are responding to these choices. On X1, 85% of our subscribers are using XFINITY On Demand monthly, viewing 29 hours a month on average. And 42% of our subscribers are using our TV Everywhere platforms monthly, up 17% from last year, viewing 10 hours a month on average. We think this adds great utility to our Video service. Rounding out our residential products, voice revenue declined by 1.1% to $893 million in the second quarter as customer combined net additions of 64,000 were offset by a modest decline in ARPU, reflecting our usual revenue allocations within our multi-product packages. Let's now turn to business services, which continues to deliver excellent results. Revenue increased 17% to $1.4 billion, with the small business segment accounting for about 75% of our revenue and 60% of our growth. Revenue for the mid-size business segment continues to grow at an attractive rate and its contribution as a percentage of total business revenue is increasing. Overall, business services has strong positive momentum and continues to represent a large and attractive growth opportunity for the company. Cable advertising revenue increased 3.5% to $597 million, reflecting higher political revenue, as we continue to benefit from advertising for the upcoming elections. Excluding the political contribution, our cable advertising revenue increased 1.1%, reflecting slower growth across core categories and the timing of media spending. Despite the slowdown in core local advertising, we expect advertising revenue growth to ramp in the second half of this year, again driven by political revenue from the upcoming elections. Turning to slide six, second quarter Cable Communications operating cash flow increased 5.7% to $5 billion, resulting in a margin of 40.6%, relatively consistent with the second quarter of 2015. Programming expenses grew 7.4%. However, excluding the impact of the pay-per-view fees associated with the fight in last year's second's quarter, programming expense growth would have been 9.4%. This growth reflects programming contract renewals, higher retransmission consent fees and sports programming costs. We continue to expect approximately 10% growth in programming costs for 2016 as growth ramps in the second half of the year, driven by upcoming contract renewals. Non-programming expenses increased 5.5%, reflecting our planned investment to improve the customer experience and to continue the rollout of X1. We've added technicians and service personnel, strengthened our dispatch teams and operations and invested in training, tools and technology. As a result, technical and product support and customer service costs each increased 6%. On a year-to-date basis, operating cash flow increased 5.3% to $9.9 billion, resulting in a margin of 40.3%, down 40 basis points compared to the same period in 2015. As a reminder, earlier this year we provided full year guidance for our 2016 Cable operating margin to be flat to down 50 basis points compared to 40.6% in 2015, and that guidance is unchanged. Now let's move on to NBCUniversal's results. On slide seven, you can see NBCUniversal delivered strong results in our TV and Theme Park businesses, offset by the challenging film comparison. Revenue declined 1.8% and operating cash flow remained stable at $1.7 billion. Adjusting to include the acquisition of Universal Studios Japan in last year's results, pro forma revenue decreased 5.1% and operating cash flow decreased 6.4%. Cable Network's revenue increased 4.7% and operating cash flow increased 8.3% to $944 million, reflecting higher distribution and content licensing and other revenue as well as lower advertising, marketing and promotion expenses, partially offset by an increase in programming and production costs. Distribution revenue increased 6.9%, driven by contractual rate increases and contract renewals, partially offset by a slight decline in subscribers at our cable networks. Advertising revenue was flat compared to the second quarter of 2015, reflecting strong pricing, offset by audience ratings declines at our cable networks. Broadcast Television had another strong quarter, with revenue growth of 17.3% and operating cash flow growth of 70.5% to $394 million. This increase reflects higher content licensing, retransmission and advertising revenue partially offset by higher programming and production spending. Content licensing increased 59.9% primarily due to the availability of content in our current SVOD deals. Distribution and other revenue growth of 35% was driven by a 63% increase in retransmission revenue. Last, advertising revenue increased a healthy 2.9% reflecting a strong scatter market partially offset by a challenging comparison in sports advertising due to less favorable NHL playoff matchups and the absence of a Triple Crown contender. Film revenue declined 40.4% and operate cash flow declined 86.7% to $56 million reflecting the difficult comparison to last year's film performance. Most notably, theatrical revenue declined 78.8% compared to last year's second quarter which included the strong performances of Furious 7 and Jurassic World. In addition, home entertainment revenue declined 25.1% due to the strong performance of several releases last year, including Fifty Shades of Grey. Partially offsetting this lower revenue was higher content licensing revenue due to several of last year's theatrical releases like Minions and Jurassic World now in the pay-TV window. Theme Parks' revenue increased 47% to $1.1 billion and operating cash flow increased 40.5% to $469 million in the second quarter of 2016. On a pro forma basis, revenue increased 10.6% and operate cash flow increased 5.3%. These results were driven by higher per capita spending at the Parks and the successful opening of the Wizarding World of Harry Potter attraction in Hollywood. Partially offsetting these results was the timing of spring break which was more concentrated in the first quarter this year, and pre-opening costs ahead of the new King Kong attraction this summer in Orlando. Let's move on to slide eight to review our consolidated and segment capital expenditures. Consolidated capital expenditures increased 15.2% to $2.3 billion in the second quarter. At Cable Communications, capital expenditures increased 12% to $1.9 billion for the quarter, and on a year-to-date basis have increased 10.6% to $3.5 billion representing capital intensity of 14% compared to 13.5% for the first half of 2015. The higher spending reflects increased investment in line extensions and a higher level of investment in scalable infrastructure to increase network capacity. Our investment in our network helps enhance our competitive position in broadband while staying ahead of rapid growth and bandwidth consumption by our customers. We believe we have, and will continue to monetize these investments effectively, through subscriber growth and rate adjustments. In addition, our higher capital expenditures reflect spending on customer premise equipment related to the deployment of our wireless gateways and the X1 platform. We continue to expect that for the full year of 2016, our Cable capital intensity will remain flat to 2015 at approximately 15%. At NBCUniversal, capital expenditures increased 32.4% to $360 million in the second quarter and increased 21.3% to $655 million on a year-to-date basis driven by the inclusion of a full quarter of Universal Studios Japan. We continue to expect NBCUniversal's CapEx to increase approximately 10% this year. I'll now finish up on slide nine. As I mentioned earlier, consolidated free cash flow declined 5.4% to $1.4 billion in the second quarter reflecting growth in consolidated operating cash flow offset by higher capital expenditures. For the first half of the year we generated $4.2 billion in free cash flow, a decrease of 9.8% over the first half of 2015. This decline reflects growth in consolidated operating cash flow offset by increased working capital as well as higher capital expenditures and cash paid for capitalized software and other intangible assets. In addition to investing in the business, we are also successfully executing our plan for returning capital to shareholders. Dividend payments during the quarter were $670 million up 6.6% and share repurchases were $1.1 billion, consistent with our plan to repurchase $5 billion of our common stock during the full year. In addition, we ended the quarter right at 2.0 times net leverage, in line with our stated target. That concludes our summary of the quarter. I hope that everyone now has a good sense for how pleased we are with our results as well as our momentum going into the second half of the year. Now I'll turn it back to Jason to lead the Q&A.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Mike. Regina, let's open up the call for Q&A, please.
Operator: Thank you. We will now begin the question-and-answer session. Our first question comes from the line of Craig Moffett with MoffettNathanson. Please go ahead.
Craig Eder Moffett - MoffettNathanson LLC: Hi. Good morning. A question regarding your Cable business for a second, and something that we've seen coming up in your set-top box configurations. Can you talk about the XB6 wireless gateway configuration for video distribution and what that might do, not just to the CapEx cost of X1 deployment, but also the OpEx cost of self-provisioning and how that might – when we might see that being operationalized?
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Hi, Craig. It's Neil. The XB6 will be out – it's in the lab now. It'll be out towards the end of year or early next year. It is, as you mentioned, a Wi-Fi based delivery of the video signal, and which should cut down on both OpEx and CapEx cost. And we haven't put out how much yet. It's still in the early days, but I think it'll be a great addition to the overall hardware configuration and should over time bring down CapEx cost – CPE cost.
Craig Eder Moffett - MoffettNathanson LLC: And is there anything you can update us on with respect to the kind of reaction you're seeing from customers about the current X1 set-top boxes with respect to take rates of VOD, churn rates and what have you?
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Well, churn rates are down significantly with the X1. DVR take rate is about three times native. The pay-per-view is about two times native. We're getting more additional outlets per box so the ARPU is up significantly and churn is down. So it's been a great product for us and we keep innovating with it and adding new features and functionality.
Craig Eder Moffett - MoffettNathanson LLC: Thanks, Neil.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thanks, Craig. Next question, please.
Operator: Your next question comes from the line of Ben Swinburne with Morgan Stanley. Please go ahead.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Thank you. Good morning. I have a question for Brian and one for Steve. Brian, the industry has a long history of collaboration that's been a big part of the success if you think about cable labs, et cetera, and I'm wondering in the context of all the big changes in ownership outside of Comcast and when you look at how much more software-driven the business is becoming, you look at how much more streaming is happening around the country in terms of OTT, do you see either an opportunity or a need for greater collaboration throughout the cable industry going forward and you – something that you think might actually impact your business or make what you offer the consumer even more powerful? And then I'll just ask my follow-up to Steve. Steve, you had a huge content licensing quarter this quarter and I'm just wondering in that context, can you talk about your philosophy on SVOD licensing, particularly as we head towards this Hulu bundle, which, while we don't know what it looks like, there's a lot of talk about cutting back on licensing to folks like Netflix and putting more product inside the bundle. Just wondering if you could opine on how you're thinking about that at NBC.
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: So the content licensing numbers bounce around, and this quarter was slightly higher than some of the other quarters, but I don't think there's – I know there's no change in strategy. We run the business being very careful about windows and being very careful about the various ways that we make money, and we've essentially licensed to everybody that you would expect us to license to. As it relates to the new OTT entrance, I think the key there is going to be making sure that we're in every bundle, and I think we're going to be. We have more channels and more eyeballs than anyone else and we're pretty much essential to those bundles. And then as they go out, making sure that they're incremental, that they're not cannibalistic, wholly cannibalistic. I believe the vast majority of OTT subscribers will be incremental. We'll be going after people who currently are not part of the ecosystem and therefore will be additive to NBCUniversal and all of Comcast NBCUniversal as well.
Brian L. Roberts - Chairman & Chief Executive Officer: Look, I'm not sure I know what's at your question there, Ben, but I think listening to it, first thing we did is we wanted to have sufficient scale for Comcast to be able to invest in the kinds of things we're going to do for the Olympics and X1 where we have enough scale to justify that and do really well as a stand-alone company. We've always liked to collaborate, you're right about that. As we look at things like business services and advanced advertising, one of reasons we were happy to see some of the other consolidation that took place earlier in the year and has been happening is to enable that collaboration, and I think it also extends to programmers and operators trying to find ways to use this new technology to give more value to the consumer. And whether that's starting with high def, working all the way to on demand and DVRs to now additional content and random access and on multi-screens and all devices and whatever's coming next, and it's a very exciting time. And I think our company has a real momentum of being new products, innovation, improving service, and I think that's why you're seeing the results we're reporting his morning.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Thank you both.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Ben. Next question, please.
Operator: Your next question comes from the line of Richard Greenfield with BTIG. Please go ahead.
Richard Greenfield - BTIG LLC: Hi. Couple questions. One, just wondering how are you thinking about balancing Video subs relative to ARPU? Obviously your Video sub growth has been really impressive relative to the rest of industry. ARPU's slowing a little bit, and just wondering what's going on there in terms of the balancing act. And then two, just wanted to follow up on the last question tied to Hulu. At INTX, I think, Brian, and your team talked to how technologically, there's nothing stopping X1 from working nationwide, and given all the stats that Neil just cited for X1, with Hulu, DISH, DIRECTV, YouTube and others going nationwide, what's stopping Comcast from basically launching X1 on a nationwide basis and really competing with everyone that's out there?
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Hi, Rich. It's Neil. I think the first question concerning how do we balance subs and ARPU can be explained by the fight – the Mayweather-Pacquiao fight last year. The difference in revenue was about 150 basis points in the fight, so if we were to include the fight this year, it would be we'd be 150 basis points up if you want to look at it that way and actually higher ARPU than last year's second quarter – or higher revenue, excuse me. So that explains that. I think we continuously balance the volume and the rate, but we also had more subs come into the starter package, which is a fully-bundled package, this quarter than we had in the past, so we're get the fully-bundled product out there.
Brian L. Roberts - Chairman & Chief Executive Officer: I'll take the second one. First of all, I think, Neil, you guys are doing a great job in that answer, and the balance is one of the things we're most proud of. It's not just subscribers. It's the revenue and cash flow growth for Cable very healthy this quarter and all year, and the trend is we're doing both really well. So thanks for asking that because the fight did distort that this quarter a bit. Look, on – we just fundamentally believe for now that our end market, end footprint strategy is where we add the most value to consumers. Right now we're 40% X1 penetrated. We're hoping to increase that in the short period, next year or two. As it continues to scale, our broadband is great results, business services, it all works well with having a network. OTT economics are unproven to us, and out of footprint it's not clear that that's the right strategy for us. So we're about a business model where we're able to grow the customer base, have customers that have multiple products, really high value and ever-reducing churn and innovative new products you that bolt on. Now, it's not clear how you do that where you don't have a network, but we're innovating all the time, and we're happy with the strategy we have.
Jason S. Armstrong - Senior Vice President-Investor Relations: Great. Thanks, Rich.
Richard Greenfield - BTIG LLC: Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Next question, please.
Operator: Your next question comes from the line of Marci Ryvicker with Wells Fargo. Please go ahead.
Brian L. Roberts - Chairman & Chief Executive Officer: Wow.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. First question for Cable. It looks like expense growth moderated in the quarter if we look at just advertising and customer service. Is this seasonality? Or are you through the bulk of investment spend? And then the second question is for Steve. The 63% increase in the retrans number, is this coming more from retrans or from reverse comp? Or are they evenly split at this point?
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Hi, Marci. On the programming costs question, it came in at 7.4%, but again, it was the fight last year that if included would have risen our rate to a 9.4% increase. So it was a significant difference between cost this year and last.
Marci L. Ryvicker - Wells Fargo Securities LLC: Neil, I was talking more about the non-programming expense.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: The non-programming expense?
Marci L. Ryvicker - Wells Fargo Securities LLC: Yeah.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: I wouldn't read anything significantly into that. It was non-programming expense. We're still focusing on customer service, we're still driving out X1, so I think that the trends are going to be fairly consistent there.
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: So in terms of retransmission consent, we've grown retrans very, very substantially in the last five years. But we still lag the other three big broadcasters based on what we know. We make slightly more from our affiliates as a share of their retrans than we make from our O&Os, but the real point, I think, on retrans is we still have some major contracts where retrans is going to take significant step-ups and we're still hundreds of millions of dollars less than some of the other comparable peers. And we think we deserve the same amount for retransmission consent. We have the Olympics, we have the NFL, we're the number one network in the demo, and so I think over time that'll be a number that continues to grow nicely.
Marci L. Ryvicker - Wells Fargo Securities LLC: Got it. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Marci. Next question, please?
Operator: Your next question comes from the line of Vijay Jayant with Evercore. Please go ahead.
Vijay Jayant - Evercore ISI: Thanks. Two questions, both for Neil. First, there's like a one terabyte cap now on your monthly usage for broadband. I just want to understand how we think about usage-based pricing given that hurdle in consumption. And then we saw an announcement on you introducing a prepaid offering. Just want to understand the market opportunity, and that's something we normally see in the developing world. Why was there a need to actually do a prepaid offering for video? Thank you.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Well we have one terabyte. We moved it up from 300 gigabyte to one terabyte in 14% of our markets where we have usage-based pricing. We think we're going to continue to adjust and look at it as the market evolves and as usage evolves. We have different pricing models, some based on speed, some based on usage, and we're going to be flexible and kind of let the market tell us which way is best for consumers and how we add the most value. We continue to add speeds. We've upped speeds 17 times in 15 years. We've built out the fastest Wi-Fi. So we're going to continue to invest in the network to stay ahead of things. Concerning prepaid, there is a segment of the customer, or consumer base, that we felt that there was a better model at serving them. They're generally lower income, may or may not have a credit card and generally wouldn't meet our credit ratings – or credit standards that we had applied for customers – acquiring customers. So we felt this was a good model. We tested it and it and worked well, and so we'll be rolling it out on a broader basis.
Vijay Jayant - Evercore ISI: Great. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Vijay. Next question, please?
Operator: Your next question comes from the line of Phil Cusick with JPMorgan. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Couple things. Staying away from Spectrum, but can you talk about the wireless strategy of the company and when we might see you do some MVNO trials? And second, following up on Steve, with a nearly 13% CPM increase, how do you think about your monetization gap versus the industry, and how long to get to parity on advertising rates? Thanks.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Concerning the Wireless strategy and Spectrum, I can't really talk about Spectrum but we think the Wireless represents a significant opportunity for the business. With 28 million customer relationships, our MVNO rights, which we've invoked, and our 15 million Wi-Fi hotspots, we think there's a real business opportunity there. We've been in test and learn mode. We recently announced Greg Butz, who was running all our sales channels to take over the marketing, take over the wireless business. He comes from that business, came to Comcast from the wireless business and has a great deal of experience in selling to our base and acquiring new customers. So we're continuing to move forward with our strategy and more to come in the future.
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: So over the last five years, we've talked a lot about what we call the monetization gap, which is the gap between the CPMs that other people get and the CPMs that we receive. We also have had a monetization gap on the affiliate side, which is the gap between the retrans or the affiliate fees that we receive in similarly situated channels. At the time we did the deal, the monetization gap was about 20% on add sales. We've closed the majority of that gap, and the biggest progress we've made in any single upfront was the progress we just made. A few years ago we put all of our channels together. We had previously sold cable separately from broadcast and sports separately from primetime and news. We put everything together. So now if you want to buy from any part of the company, we have a discussion about every part of the company, and that, because we're the larger provider of television advertising in the country, people come to us first. So for the last couple upfronts, we've really led the discussions and led the sort of negotiations and price setting of the entire market. Brian mentioned it in his overview, but we got 12.5% increases on NBC Entertainment, but we also got 13% on USA. We got 12% on E!, we got 10% on Bravo, and overall Cable was up double digits and broadcast was up double digits. So we had a wonderful upfront. I think in some I instances, we might be a few percentage points ahead of similarly situated networks this year. But we think we deserve that, and we still have a gap that we're trying to close. It's hard to make progress that's much more material than a few percentage points, but I think we certainly made it this year. And we're also taking advantage of the fact that it's a strong advertising market, both in scattering and upfront pricing, and I think big advertisers realize that digital's an important part of the mix. But if you have a major product launch, you really, really have to look at big events on broadcasting cable television that can provide the kind of reach and sort of depth that you get. Think of what someone gets when they advertise in the Olympics. We have three times the combined ratings on any given night during the Olympics of ABC, CBS and Fox. So that kind of appeal, if you're marketing an automobile or a beer or a car, it's just a tremendous value proposition and we're happy to have it, and we made real progress this year.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, Steve.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Phil. Next question please.
Operator: Your next question comes from the line of Jessica Reif Cohen with Bank of America Merrill Lynch. Please go ahead.
Jessica Jean Reif Cohen - Bank of America Merrill Lynch: Oh, thanks. I'll focus on NBC in my two questions, but I just want to stay I've never seen a second quarter with video subs flattish even when the industry was like a fraction of penetration, so hats off to Neil. But I have two NBC questions. One is on the Olympics. And Steve, you just touched on the Big Nights that you'll have, but given your differentiated and unique approach to the Olympics, how will you monetize beyond the advertising sales you've already garnered? And the second completely different question but also NBCU is, can you talk a little bit about your China strategy? Have you actually signed the documents for Beijing Park and what the timing is? How are you thinking about film? The quotas are likely to be, and the splits, likely to be lifted next year? So can you just talk about overall approach to China? Thanks?
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: Okay. So let me start with the Olympics. So, for the first time since we've been here, we hit our advertising budget for the Olympics three weeks before the start of the Olympics. Normally we would hit the budget right about the time the Olympics started or shortly thereafter. And our budget was about a 20% increase from London. So we're very, very happy with how we're doing in terms of Olympic sales. We make money a lot of different ways in the Olympics. We have national advertising, which is what I was just referring to. We also have a lot of advertising in our own stations. We get paid an affiliate fee by cable and satellite and telco operators. And then we have a very big digital business. All of those businesses look terrific. And the way the Olympics work, you have a sufficient make-good to cover any rating shortfall which we hope and think there won't be. But even if there was a significant shortfall, we would just make good during the Olympics. So we're looking, I think, at a very profitable Olympics. We made $120 million or thereabouts in London, and we are going to make a lot more than that in Rio. So we're looking forward to that. China, Brian and I were in China two weeks ago, and we are very, very bullish on our business there as are most people doing business in China. NBCUniversal made essentially nothing in China four years ago. I'm talking movies, television, consumer products and theme parks. Last year we made call it $170 million in China from movies and television. That number's going to grow substantially in the future. We have existing deals and new deals and we're getting better and better at bringing our products to China. And then in 2020, we're projecting to open a theme park in Beijing, which we're very bullish about. We have not signed all the documents but we've had countless meetings. By the way, our first meeting about Beijing happened something like 12 years ago. So this has been going on a long, long time. But we're essentially – we're in schematic drawings. We've had countless discussions on – we have all the attractions laid out. I mean we're really in production mode. And I think when you look forward to 2020, combination of movies and television and theme parks, China is going to be a very, very substantial profit generator for our company.
Jessica Jean Reif Cohen - Bank of America Merrill Lynch: Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Jessica. Next question, please.
Operator: Your next question comes from the line of John Hodulik with UBS. Please go ahead.
John Christopher Hodulik - UBS Securities LLC: Great. Thank you. Couple questions for Neil. First on the X1, you've gone from 30% to 40% penetration in first half year. It looks like you'll be north of 50% by the end of the year. Can you give us an idea of where you think that number tops out? And looking at that, can we assume that 2016 here is the big year in term of CapEx and OpEx to support it for the X1 rollout? That's number one. And then second is on the business market. Nice growth, 17% growth, obviously most of it coming from the small, medium size business. Do you believe you need more assets to go after the large business market? Is that an opportunity for you, especially out-of-region assets? Or is a partnership with Charter and other cable companies the more likely way you approach that segment of the market? Thanks.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Hi, John. With X1, we will be at about 50% penetration by the end of the year. We put out about 885,000 boxes this quarter, so we are growing at a good rate. We'll continue to press more penetration. I'm not exactly sure where it tops out but you could say that generally speaking, in the 80%, 85% range. There's a part of the base you probably don't get to because you don't want to disrupt satisfied legacy customers who are in single-play video. Concerning the business services, you're right. The majority of the growth is still coming from small and medium size. We stood up the enterprise business September of 2015. We're growing customers and we are doing deals with other MSOs. So Huawei's a good example. We just signed a deal with them for 700 locations for both XFINITY public Wi-Fi in the stores and then employee Wi-Fi also within the stores and we did it out of footprint and in footprint. So we did deals with other operators and it's worked out very well. So a lot of the chains we're opening up to like banks have main headquarters and then multiple locations. And that's kind of the profile we're going after in the enterprise space and it's moving ahead quite nicely.
John Christopher Hodulik - UBS Securities LLC: Got you. But on the X1, can we assume that the spending there is topping out this year and maybe it's flat to down next year to support that?
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: We haven't made any projections as to how many boxes we'll be getting out over the next year. We're still working the 2017 plan. But I think that, you know, the other thing we're doing is getting X1 out on other devices and incorporating other players like Netflix into X1. So as we go out, and you can get the X1 experience on a Roku or a Samsung TV, that'll also extend its reach.
John Christopher Hodulik - UBS Securities LLC: Great. Great. Thanks, Neil.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, John. Next question, please.
Operator: Your next question comes from the line of Jason Bazinet with Citi. Please go ahead.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): I just have a question for Mr. Burke. Several years ago when you first got control of NBCUniversal, I think you guys said if you had your druthers, you'd have fewer brands to support within the cable network division. And I just wonder, is that still true? Do you still believe that's true given the way you're selling ads? And if it is true, is there something subtle going on underneath the way you're allocating your programming dollars where you're arraying them against a fewer subset of all the brands that you have?
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: I do think that we and most of the big media companies are concentrating on their big brands. We have some cable channels that don't have full distribution. We've had a certain amount of consolidation and moving around. We had a network called G4 and a network called Style that neither one currently exist. And I think you'll see more of that. I think you'll see the more of that with us and others as the discussions with NVPDs get more and more contentious. I think it's – you want to make sure that your big networks are fully supported and you're more willing to re-allocate. Normally when you do those re-allocations, they're not all that negative for the content owner because you can take some of the programming and fees and ad sales and move them, consolidate them on some of your bigger networks. The good news for us, really, and you're seeing this with OTT, is if you have NBC you really need to be in a bundle. If you have USA it really needs to be in a bundle. If you have Syfy or Bravo or E!, those are big substantial networks that are in the bundle. And when you really look at our cable networks, we make most of our money in those big channels. And we've trimmed, and I think you'll see us and others continue to trim some of the more marginal channels. There's just too many channels and people are spending too much programming channels that are not fully distributed and you'd much rather put your money and have Mr. Robot on USA and have The Voice and Blind Spot on NBC and really go with your strong networks.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): How far along would you say are you in that evolution please?
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: I don't know. I think there's more to do. We've done some. I think there's more to do. I don't think it's going to have a material impact on the way our profitability looks in terms of cable channels one way or the other. It might be slightly positive, but I think it'll evolve itself over the next number of years and we'll continue to invest what we need to invest in the big guys and try to trim some of smaller ones.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc. (Broker): Okay. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Jason. Next question, please.
Operator: Our next question comes from the line of Brett Feldman with Goldman Sachs. Please go ahead.
Brett Feldman - Goldman Sachs & Co.: Thanks for taking the question, and just going back to the video trends, you talked about this long cycle you've seen and improvements in churn, and I'm just curious, do you feel like you're getting to the point where maybe most of that improvement is behind you? Or do you still see some obvious ways you can continue to chisel away at that? And then just at a higher level, your thoughts on the competitive environment in video. Seems like the second quarter may not have been the most competitive quarter in light of some internal issues that your competitors were facing. Are you expecting any meaningful change in the second half of the year, and is there anything you think you need to do to maybe reposition around the competitive environment in the back half? Thanks.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: I think on the video side we're – we've got what I believe is the best product out there in X1. We continue to add content. We're integrating new content into the platform. We're getting on more devices, and I think we're just executing better. So I see room in continued churn reduction. It's been 29 straight months on the video and HSD side, and I think there's still opportunity there as we improve the customer experience and continue to develop the product. And your second question was...
Brett Feldman - Goldman Sachs & Co.: See broad competitive environment, particularly looking into the second half.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Yeah. The competitive environment, there, I think that we're competing well across all markets. Verizon had the strike this quarter but that's only in 15% of our footprint, and the rest of our footprint performed just as well. So I think we're always in a competitive environment. Nothing's changed dramatically, and we think we're competing very well.
Brett Feldman - Goldman Sachs & Co.: Great, thanks.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Brett. Next question, please.
Operator: Your next question comes from the line of Anthony DiClemente with Nomura Securities. Please go ahead.
Anthony DiClemente - Nomura Securities International, Inc.: Good morning, and thanks for taking my questions. First, for Steve, given the agreement for Netflix to be integrated with X1, Comcast cable's giving its customers better access to an ad-free viewing option relative to an ad-supported VOD option on cable. Are you concerned that that integration could have an impact on ratings and potentially ad revenue at NBCU and other cable TV programmers in the industry? And then second question for Neil, I just wanted to get your thoughts on the value of premium paid TV networks to your video platform given that they're going direct to consumer increasingly. So for example, how does HBO going direct to consumer with HBO NOW change your approach to marketing it? Does it change the value of HBO to your video customers, or do you look at it as an opportunity on the broadband side? Thank you both.
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: So when you look at all the change that's going on in the video spaces, I think it`s easy to sort of overreact to a change or to predict that a change is going to be more dramatic than it really is. The fact of the matter is something like 40% of the people in America have Netflix now, and the people – it's obviously an extremely successful service and people are watching a lot on Netflix. And whatever Netflix is doing to viewing habits, I think a lot of that is already done and it's going to change and the tide'll come in and go out. But I the fact that Neil's putting it on the set-top box is a great idea. It's very customer-focused. It's going to make Comcast an easier place to view, particularly with X1, easier place to view all the options in video and I think it's a very smart strategy for Comcast, and I think to the degree the MVPD ecosystem stays strong, that's good for NBCUniversal. Our relationship with Netflix has never been better. They're a huge purchaser of our content. We talk to them all the time. So my prediction is it'll be quite a good thing for Comcast Cable and it'll be a good thing for NBCUniversal.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: As Steve said, the X1 platform gives us the ability to be an aggregator of aggregators and to incorporate services like Netflix and to give the customer easy access to it, a seamless access. We had tossed around the decision for a while, but really it came down to what's best for the customer as we get very customer experience focused and making sure we had critical mass in X1 so it made a difference. But concerning the premium packages overall, I don't see their role changing dramatically. I think there needs to be some sort of a relationship or an indexing between retail and wholesale pricing, but we still think they add great value to the service and we'll continue to work them into the service.
Anthony DiClemente - Nomura Securities International, Inc.: Okay. Thanks.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Anthony. Next question, please?
Operator: Your next question comes from the line of Bryan Kraft with Deutsche Bank. Please go ahead.
Bryan Kraft - Deutsche Bank Securities, Inc.: Hi. Good morning. I want to ask, I guess, first on advertising, Steve, just was wondering (54:45 – 54:48) and also if you could comment on I guess how much of your inventory sold in the upfronts this year relative to last year. Did you sell more, or roughly the same or less? And was also wondering what your expectations, Neil and Steve, are for political advertising as the election cycle gets underway. And then if I could, separately, I just wanted to ask you about the YES dispute. You had obviously the real viewing data that made you confident in going ahead without YES carriage. Just wondering what you learned there and how it might affect future negotiations on RSNs. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Hey, Bryan. It's Jason. Just to clarify, because you did break up for a part of the question, the first question was about inventory sold in the upfront? Is that the entirety of it?
Bryan Kraft - Deutsche Bank Securities, Inc.: The first question was if you could comment on what you're seeing in the scatter market right now, and then also separately if you could comment on how much of the inventory you moved to this year in the upfront. Yes.
Stephen B. Burke - Chief Executive Officer, NBCUniversal & Senior Executive Vice President, Comcast Corp.: Okay. I would say the scatter market continues to be extremely strong, as strong as we can remember it being. And that's continuing. We're going into an Olympics period, so who knows what's going to happen there, but I think the advertising market is very, very strong, and some of that is reflected in the upfront. In terms of volume in the upfront, I think we could have sold a lot more than we sold in the upfront. We sold about 10% more volume on the broadcast side, about 5% overall. We turned away a lot of volume. We're working on mix on the cable side to try to get higher, more profitable advertising into our mix in some of our cable channels. But there was plenty of volume. And we could have sold more if we wanted to. The percentage sold as a percent of the total is roughly comparable to previous years, so we still have, depending on the network, 20%, 25% of the volume available for a strong scatter market.
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: And concerning political, we see a good opportunity in the fourth quarter as we have seen in the past, and so we think there's room there. And concerning YES, we had very detailed viewership data that – where we assumed that if we took it off the air, there would be a certain amount of lost subscribers and our assumptions were much higher than the actual case turned out to be. We lost many fewer subscribers than we anticipated. So I think at the end of the day, great programming there will always be a price for, and we'll go in well informed to our conversations and look for value add to the consumer and value add between the programmers and distributors.
Bryan Kraft - Deutsche Bank Securities, Inc.: Great. Thank you.
Jason S. Armstrong - Senior Vice President-Investor Relations: Thank you, Bryan. Regina, we'll make this the last question, please.
Operator: Our last question will come from the line of Mike McCormack with Jefferies. Please go ahead.
Mike L. McCormack - Jefferies LLC: Hey, guys. Thanks. Neil, maybe just a couple for you. On thinking about the fourth quarter or the back end of the year, we're seeing a lot of OTT offerings coming out. How do you guys think about positioning a single-play broadband product, and I guess how much flexibility do you have in pricing that? And then secondly, either Mike or Neil, just thinking about the cable OCF (58:14) guide, is that just programming in the back half that might weigh on it?
Neil Smit - President & Chief Executive Officer, Comcast Cable & Senior Executive Vice President: Yeah. Concerning the Q4 OTT products, as Brian said earlier, we haven't seen an OTT model that really is very profitable for us and we think that bundling our products and having business services and operating – the bundle is still the best value. And concerning single play and broadband, we do market that. We think there's going to continue to be streaming services and OTT services that come through and broadband will continue to grow as we continue to invest in the network and the Wi-Fi capabilities.
Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President: And in term of programming costs, so for the full year we still expect to be up about 10% for the full year year-over-year. We were about 9.4% for the year-to-date when you adjust out the deflation caused by the fight, and that's on the back of contract renewals that we had at the beginning of year and we'll have in the second half and some of that'll carry over to next year as well.
Mike L. McCormack - Jefferies LLC: And, Mike, is it just the programming piece, though, that drives the, what looks to be conservative guidance based on the first half?
Michael J. Cavanagh - Chief Financial Officer & Senior Executive Vice President: Well first half of the year on overall margin we were down 40 basis points to 40.3% versus 40.6% last year, and as we said at the beginning of the year, it will be flat to down 50 basis points, and not going to tune up the second half of the year, but all the trends are as just described so we'll be in that range.
Mike L. McCormack - Jefferies LLC: Okay. Great. Thanks, guys.
Jason S. Armstrong - Senior Vice President-Investor Relations: Okay. Thank you, Mike, and thank you, everyone, for joining us today. Regina, back to you.
Operator: There will be a replay available of today's call starting at 11:30 a.m. Eastern Time. It will run through Wednesday, August 3, at midnight Eastern Time. The dial-in number is 855-859-2056, and the conference ID number is 28741694. A recording of the conference call will also be available on the company's website beginning at 12:30 p.m. today. This concludes today's teleconference. Thank you for participating. You may all disconnect.